Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fox Corporation First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session. I would like to emphasize that functionality for the question-and-answer queue will be given at that time. [Operator Instructions]. As a reminder, this conference is being recorded. Now I'll turn the conference over to Chief Investor Relations Officer, Mr. Joe Dorrego, please go ahead.
Joe Dorrego: Thank you, Operator. Good afternoon, and welcome to our fiscal 2022 first quarter earnings call. Joining me on the call today are Lachlan Murdoch, Executive Chairman and Chief Executive Officer, John Nallen, Chief Operating Officer, and Steve Tomsic, our Chief Financial Officer. First, Lachlan and Steve will give some prepared remarks on the most recent quarter, and then we'll take questions from the investment community. Please note that this call may include forward-looking statements regarding Fox Corporation's financial performance and operating results.  These statements are based on management's current expectations and actual results could differ from what is stated as a result of certain factors identified on today's call, and in the Company's SEC filings. Additionally, this call will include certain non-GAAP financial measures, including adjusted EBITDA or EBITDA as we referred to it on this call. Reconciliations of non-GAAP financial measures are included in our earnings release and our SEC filings, which are available in the Investor Relations section of our website. And with that, I'm pleased to turn the call over to Lachlan.
Lachlan Murdoch: Thanks, Joe. Good afternoon, and thank you all for joining us to discuss our first quarter results. We started off the 2022 fiscal year strongly, supported by industry-leading affiliate revenue growth, and the healthiest ad market we have seen in some time. This momentum is clearly seen across our operating businesses, which includes the return to a full slate of live events at FOX Sports, the expansion of ratings leadership at FOX News, and continued exceptional growth from 2B. Audiences are migrating to live news, sports, and streaming underscoring the operational and financial pillars that have defined our short history as Fox Corporation.  This quarter continued to demonstrate the strength of our businesses, where we delivered 12% growth in top-line revenues, led by a 17% increase in advertising and near double-digit growth in affiliate revenues. On the advertising front, Fox is uniquely benefiting from a healthy national ad market where brands are increasingly seeking out engaged real-time audiences at scale that only live news and sports platforms deliver. This strong market is also benefiting Tubi and our Fox News digital assets, which provide targeted audiences to advertisers across many platforms.  And despite comparisons to a heavy political ad cycle last year, our local markets are also performing well. On the affiliate revenue side, we again have best-in-class growth reflective of the power that our core brands hold in the pay-tv universe. Our commitment to keeping our highest profile content, like the NFL, exclusive to our distribution partners, gives us confidence that the healthy annual price escalators we have commanded for our brands over the past renewal cycles, will carry over into the next.  While Steve will walk you through our financial performance in more detail shortly, I will now turn to the operating highlights across our businesses. You've heard it from me before, and all of our advertisers know well that Fox owns the fall through our football and baseball coverage at Fox Sports. And this fall is once again proof of that fact. NFL viewership is up across the industry. College football is back in full force. And we have just concluded a highly competitive Major League Baseball postseason.  And throughout it all, Fox Sports has been expanding its live coverage to deliver viewers more of the content that they want. The NFL is off to a great start, seeing solid growth in overall viewership through the first 8 weeks of the season. Excluding a rather complicated Week 1 comparison, Fox's NFL viewership is up 8% over last year and our schedule only gets better from here.  College football has also seen solid growth. By all measures, it's off to its best start in recent memory, Season to date, average viewership of our college football games on Fox is up nearly 20% over 2019. the most appropriate comparison given the postponements and cancellations that characterized last year's COVID-impacted schedule. Fox's Marquee, Big Noon Window, is averaging more than 5 million viewers, while our Saturday morning pregame show, Big Noon Kickoff, is also seeing viewership up nearly 20% over 2019 levels.  Moving from the football field to the baseball diamond, Major League Baseball has been a bright spot this year. The inaugural field of dreams games, again this summer was a great success, clocking nearly 6 million viewers, and delivering the most watched regular season baseball game in 16 years. It drew viewers and mass, notably women and teens. and from a business standpoint, was the highest revenue generating regular season game of all time.  This game was something that only the Fox Sports team could envision and produce, definitely tapping into the nation's desire for an uplifting event underpinned by nostalgia and optimism. We all look forward to returning to Iowa in August '22 for next season's Field of Dreams game. The momentum from the Major League Baseball regular season has translated into the post-season.  And what has been a superb World Series for Fox. In fact, the World Series is the only content this season outside of the NFL to average over 11 million viewers and will easily outright the NBA finals to rank as a number 2 championship event in professional sports this year. And today, we're happy to announce the expansion of our international soccer portfolio with a landmark rights agreement for the UEFA European Championship. We will have access to more than 1500 matches highlighted by the 2024 and 2028 Euros, along with the UEFA Nations League, World Cup, and Euro qualifiers, and international friendlies.  And this is on top of our existing international soccer portfolio, which as you know, already boost the FIFA Men's and Women's World Cups. Importantly, we've also acquired sports betting rights alongside our coverage of these UEFA competitions, including integration opportunities with Fox Bet and Fox Bet Super 6, which are already benefiting from our existing sports portfolio.  At the end of the quarter, the user base for Fox Bet Super 6 exceeded 5 million players, making it the biggest free-to-play sports betting game in the country. Beyond our direct investments and options in the wagering area, our national networks and local stations are benefiting from the legalization of gambling across the country. Take the Fox Television Stations as an example. Sports betting is only legalized in 6 of our 18 Fox markets, and yet we have already written approximately 20% more sports betting revenue at this early point of the fiscal year than we did across all of fiscal 2021 combined.  This implies that this new category will end the year as one of the largest in local advertising. Staying with local advertising, the overall market trends for us are quite positive with travel, entertainment, and pharmaceutical categories proving particularly robust. While we continue to observe some softness in automotive, this is being more than offset by growth in other areas including sports betting.  Excluding political spending, our core local advertising was up again this quarter. At Fox News Media, linear and digital segments are performing very well. The Fox News Channel has further solidified its leadership position in cable news, reaching market share levels that are now at multi-year highs. In both total day and prime time, the Fox News Channel accounted for over 50% of cable news viewership during the first quarter, more than CNN and MSNBC combined.  This momentum has accelerated into the current quarter, with Fox News Channel accounting for 55% of total day, and primetime cable news viewership in the month of October. And I should just state here as an aside, last night saw a viewership share of the Fox News channel of 65% of all of cable news of viewing, 65%. The first quarter also mark the seventh straight quarter of the Fox news channel was number 1 in all of basic cable for primetime.  And this ratings leadership continues even into the late-night hours. Gutfeld! regularly outpaces nearly all late-night programs on cable and broadcast television. Even besting the CBS Late Show with Stephen Colbert on selected nights. At Fox Nation, the complementary streaming service to Fox News, our total subscriber count was up nearly 25% compared to last quarter, and up over 130% compared to the same quarter last year.  Not only our new subscribers seeking our Fox Nation, they are also staying with the platform longer. The first quarter was Fox Nation 's highest quarter for engagement, and the best quarter for subscriber retention. The momentum at Fox Nation has continued into the current quarter with the addition of the iconic series Cops. This show, which was a staple of the Fox Network for so many years, launched on October 1st and has quickly become one of the most popular titles on the platform.  And we recently launched another digital product under the Fox News Media umbrella, Fox Weather. The Fox Weather app and it's 24/7 free ad-supported streaming service debuted last week as the most downloaded free app in the App Store ahead of TikTok, YouTube, and other social media platforms. Since launch, the Fox Weather app has been downloaded over 1 million times.  In just its first week of existence, users generated over 28 million-page views and spent over 42 million minutes engaging with the product. Using the strength of our national and local news operations, we are excited about the prospects for Fox Weather and our ability to be a leading player in the space, delivering compelling live content to viewers and serving as a desirable platform for advertisers to reach our valuable audiences.  The Fox Weather streaming service is currently available for free on all Fox News Media digital properties, as well as on Fox Now, the distribution and availability of Fox Weather will expand in the near term, with a launch later this month on Tubi, followed by YouTube TV, and the major streaming platforms, making Fox Weather ubiquitously available well before the end of our fiscal year.  Our digital strategy is focused and sets Fox apart from its media peers. Our strategy is deliberately less capital intensive than what others in the industry are currently pursuing. Our approach to investment is to develop businesses that are extensions of rather than replacements for our existing lines of business, thereby creating revenue streams that are truly incremental to Fox.  Tubi is a prime example of our unique approach to streaming compared to others in the media landscape. We program and monetize Tubi in distinct contrast to the SVOD approach of many other media companies, and we are more than pleased with the results. While others compete aggressively in the SVOD space, investing heavily in content and promotion, we identified the opportunity to be a leader in AVOD, a strategy which aligns with our advertiser and audience-focused approach Company-wide.  As SVOD platforms face the challenges of subscriber acquisition and retention and ever-increasing programming costs, Fox's carved out a differentiated and unique path. Tubi's measured investment in its content library and original programming is delivering solid returns. In addition to serving viewers with the content library of more than 35,000 titles, which is more than 5 times the size of Netflix's library, Tubi's unique original content strategy is already seeing early signs of success.  Out of the first 4 original films to be released this year, 2 of which have performed so well in the quarter that they have already generated advertising revenue well above their local production costs. Meaning, they're already generating a positive return on investment. Tubi's deep understanding of its audience is a key asset, as Tubi original movies outperformed blockbuster movies available on the platform. The growth at Tubi continues to exceed even our best expectations for the business when we acquired.  Tubi will generate significantly more revenue this fiscal year than our cost to purchase the platform in early 2020. In the first quarter of the fiscal year Tubi more than doubled its revenues year-over-year. And total view time on the platform, TVT, [Indiscernible] metric, continues to climb with 30% growth compared to last year. Fox 's content and reach have supercharged to recent revenue and audience. News on Tubi, at collection of 70 news channels, is anchored by live news from the Fox Television Stations and has drawn viewers for increasingly long periods of time.  Since launching last fall, News on Tubi viewership has grown over 130%, and Tubi continues to expand its linear offerings with our recent launch of Sports on Tubi, which further leverages Fox's content expertise with premium sports channels, including Fox Sports, the NFL Network, and the MLB network. Also, Fox Entertainment recently acquired TMZ. The acquisition of TMZ fits perfectly with our focus on live programming, and give us -- gives us an array of possibilities to rapidly expand our brand and platform that have long been one of the cornerstones of our local TV stations.  Fox Entertainment is focusing on bringing the TMZ brand to all parts of the Fox portfolio. including further monetizing the TMZ brand across the Fox TV Stations, developing TMZ branded content for Tubi and amplifying TMZ 's digital presence. Finally, and this is just a lot of fun, we are very pleased with the early results of our investment in Blockchain Creative Labs. Through this investment, we own a share of the underpinning marketplace and wallet technologies that power these next-generation experiences.  We recently launched the MaskVerse alongside the current season of The Masked Singer, in which fans of the show have downloaded over 120,000 NFT packs and created over 100,000 wallets on the platform. We look forward to the expansion of this business through our NFT partnership with the WWE. This further highlights the marketing power of the Fox broadcast network to drive new businesses and the creative and entrepreneurial spirit of all of us here at Fox.  Clearly, the fiscal year is off to an excellent start and we are encouraged by the outlook for the rest of the year. Our strategy to focus on the broadcast of live event programming that audiences crave, like sports and news, which coupled with the addition of Tubi, puts us in an enviable competitive position. This intentionally differentiated portfolio and approach will further propel our growth and drive exceptional value for shareholders. Now, Steve will take us through the financial details of the first quarter.
Steve Tomsic: Thanks, Lachlan. And good afternoon. As strong operational execution across our businesses has led to another quarter of impressive financial results. Let me walk you through our start to the fiscal year, before providing some markers that will be helpful as we think through the quarters ahead. In the first quarter of fiscal '22, the Company reported total revenues of $3.05 billion up 12% over the first quarter of fiscal '21, reflecting revenue growth across all operating segments.  Total Company affiliate revenues increased 9% with 14% growth at the television segment and 5.5% growth at the cable segment. The rate of subscriber declines held steady in the quarter with trailing 12-month industry sub-losses, again running at approximately 4.5%. Total Company's advertising revenues increased 17%, reflecting strength in the national and local marketplaces, return of normalized programming schedules following the COVID-related postponements and cancellations last year, and continued strong growth of Tubi.  It is worth noting that this total Company growth was achieved despite the comparison to the prior year quarter when we generated nearly $100 million in net political advertising revenues relating into the presidential election. Total Company other revenues increased 15% in the quarter, primarily due to the return of sports sublicensing revenues and pay-per-view boxing at the cable segment.  Quarterly adjusted EBITDA was $1.06 billion, down 9% against the comparative period in fiscal '21, reflecting higher operating expenses associated with the return of normalized sports and entertainment programming, and as we signaled on our fiscal '21 year-end call, increased digital investment at Fox News Media and Tubi. Net income attributable to stockholders of $701 million, or $1.21 per share was down the -- down versus the $1.11 billion or $1.83 per share in the prior-year quarter. This variance reflects the EBITDA movement I just described, along with the one-time gain recognized in other net in the prior-year quarter. This was associated with the reinvestment of cash text pre -payment completely in relation to its acquisition of 21st Century Fox, excluding the impact of non-core items, adjusted EPS of a $1.11 in the current year quarter was down modestly when compared to the $1.88 reported in the prior year quarter. Turning to the performance of our operating segments in the quarter, with cable networks reported a 7% increase in revenues. Cable affiliate revenues increased 5.5%, once again, led by double-digit pricing gains at Fox News.  Cable advertising revenues increased 4% supported by the return of a full-slate of College Football games at the national sports networks, following the COVID -related disruptions that occurred last year, as well as the addition of international soccer matches, including the Gold Cup. Cable advertising growth was also helped by double-digit digital revenue growth at Fox News Media. The partially offset by lower linear advertising revenues of the Fox News Channel due to the absence of the political cycle that we experienced in the prior year.  Cable other revenues increased by $26 million primarily due to the return of sports sublicensing revenues and pay-per-view boxing following the COVID disruption last year, as well as continued subscription maintained at Fox Nation. EBITDA at our cable segment was down $7 million versus the prior-year period, as these healthy revenue growths was offset by higher programming costs, the National Sports Networks, primarily due to the sports scheduling changes I just mentioned, and the anticipated increase in digital investment at Fox News Media, including costs associated with last week's launch of Fox Weather.  Now turning to Television, where we reported a 17% increase in revenues in the quarter. Television affiliate revenues increased 14%, reflecting double-digit increases for both our programming phase from non-owned station affiliates, and for our direct retransmission revenues at owned and operated stations.  This once again reaffirms we are well on track to achieve the Television affiliate revenue growth we outlined at our Investor Day. Television advertising revenues increased 22%, supported by strong ad marketplace, normalized schedules on the Fox network, and sustained momentum of Tubi. At Fox Sports, we benefited from a full slate of college football, the return of the MLB All-Star Game, and the inaugural World Cup of the field of dreams game, all of which were disrupted by COVID last year.  At Fox Entertainment, we resumed a more traditional full schedule, anchored by our primary scripted and unscripted heats. As compared to a schedule last year that was hampered by COVID-related production delays, which compromise the quality of the programming slate. At the Fox Television Stations, we continue to observe a meaningful rebound in the base market with our core ad revenues up high single-digits, which partially offset the absence of historic political advertising revenues that we experienced last year.  Rounding out the Television segment. As Lachlan mentioned, Tubi more than doubled its revenues against the prior year. The fact that growth in monetization is outpacing the significant growth in total view time is testament to the revenue synergies delivered from bringing Tubi into the Fox portfolio. Finally, EBITDA at our Television segment was down $98 million against the prior year period, as this healthy revenue growth was offset by higher programming costs primarily associated with normalized sports and entertainment schedules at the Fox network, and increased digital investment at Tubi.  Turning now to cash flow, where our free cash flow deficit of $24 million is consistent with the seasonality of our working capital cycle, with the first half of our fiscal year is characterized by a concentration of payments for sports rights, and the buildup of advertising related receivables, both of which reverse in the second half of our fiscal year. So far, this fiscal year, we have returned $440 million of capital to shareholders, comprising approximately $140 million in the form of our semi-annual dividend payment, and a further $300 million directed towards our ongoing share repurchase program.  Against our enhanced buyback authorization of $4 billion, we have now cumulatively repurchased approximately $1.9 billion representing over 9% of our total shares outstanding since the launch of the buyback program in November 2019. From a balance sheet perspective, we ended the quarter with $5.4 billion in cash and $7.95 billion in debt. As we look out over the remainder of our fiscal year, we'd like to remind you of a handful of markets.  Firstly, at fiscal Q2 will comp against the heightened new cycle and record political revenues of nearly $250 million that we delivered across the Company in the December quarter of last year, most of which was ending our television segment. On our last call, we discussed our plans to invest $200 million to $300 million on a net EBITDA basis into the expansion and acceleration of our digital assets. With a relatively modest amount deployed today, the phasing of these investments will be skewed toward the final three quarters of the fiscal year. From an affiliate revenue perspective, there are at least two things worth calling out.  Firstly, you will recall that last year's college football season was shortened and included a number of game cancellations. As such, we will have the tailwind of comparing against an accrual for potential distribution credits booked at the National Sports Networks in the December quarter of last year. And secondly, as I mentioned on our last call, we have a live affiliate renewal cycle with only 5% of that total Company distribution revenues up for renewal this year.  As a result, we expect the growth in affiliate revenues to moderate over the course of this fiscal year, before we say the progress for more meaningful rate increases from the 70% of total Company affiliate revenues that comes year across our fiscal '23 and '24. In the start of our affiliate revenue cycle next year, it's just one pace of what should be an exceptional fiscal '23 for Fox, as we look ahead to Super Bowl 57, the FIFA World Cup, the exit of our Thursday night football deal, and November's midterm elections. And with that, I will now turn the call back to Joe.
Joe Dorrego: Thank you, Steve. And now we'd be happy to take questions from the investment community.
Operator: Ladies and gentlemen, I'd like to emphasize the functionality of the question-and-answer queue. [Operator Instructions]. It has been requested that you limit yourself to 1 question. [Operator Instructions]. Our first question comes from the line of Alexia Quadrani from JPMorgan. Please go ahead.
Alexia Quadrani: Thank you. My one question is, and maybe on the sports side. Can you talk a bit about how you can -- how you will -- your ability to leverage more your incredible brand you have in sports, and all the rights that you have in sports longer-term? Is there a consideration of a greater digital strategy beyond what you're already doing with Tubi?
Lachlan Murdoch: Thanks, Alexia. Hi. Look, I think it's a two-fold for us. What we're currently focused on is obviously leveraging our sports brand and sports content through Fox Bet. First through Fox Bet Super 6, and then obviously as we drop sports wagers down into the wager insights at Fox Bet. So, we continue to like that business, we continue to really drive that business and spend a lot of time promoting and marketing it and really building value through our pretty unique sports wagering assets. That's number 1.  And number 2, and I think this is important for us, because obviously what drives the sports businesses is first and foremost live sports and live sports content. And so, we've taken a very clear and -- very clear strategy, and we've been very open about it and very vocal about it, is that we believe the best place for our premium sports is on our broadcast networks. That drives the most value for us, it drives the most value for our affiliates and for distributors that partner with us with retransmission fees. So, by really keeping our content exclusive with our partners, we think we drive a tremendous amount of value, not just for us, but for the whole ecosystem.
Joe Dorrego: Operator, we can go to the next question.
Operator: Our next question comes from the line of Q - Jessica Reif Ehrlich from Bank of America Securities. Please go ahead.
Jessica Reif Ehrlich: Hi, I have one multipart question, of course.
Lachlan Murdoch: Hi, Jessica.
Jessica Reif Ehrlich: Hi. So, this is a news question. So, the 65% share late-night is pretty astounding. But even before that, the -- there's been a record amount of money raised from both parties before the election, and after yesterday is probably a lot more to come. So, I guess the question is, can you talk about monetization across your various assets, Fox News and TV. Does it -- the second part of that is just measurements been a real issue for everybody.  Does that affect your news, like how you monetize news? And then I was just -- since you brought up News on Tubi, and just on content in general, I guess. Can you just talk about your outlook for how Tubi's content profile will change in the coming year? Thank you.
Lachlan Murdoch: Thanks, Jessica. Let me share on News monetization and I think you connected us with some of the political revenues that we've seen over this past 12 months and what we're continuing to see. And we believe the mid-term elections and contest next year bode to be truly staggering. So, in a News monetization as you mentioned, the -- our share of audience is in-and-out 55% of cable news viewers is incredibly impressive.  It's a lot of hard work to build that share and maintain it. One of the [Indiscernible] things as a byproduct of that share is really the breadth of our audience as well. And then we have more independents watching Fox News than anyone else. And [Indiscernible] when we have just about an equal number of democrats watching Fox News as watch CNN according to Nielsen.  The breadth of the audience, the fact the audience is also demographically becoming broader is actually bringing in new advertisers and new categories of advertisers on to the news platform. So, it's incredibly pleasing to see. We're seeing scatter pricing for news well above upfronts and the market is strong. Obviously, local news is a big part of our news business as well. We now produce over 1,100 hours of local news per week. Many of our stations are now in -- if they weren't battleground states before, they're now -- after last night, they're now battleground states.  And we'd see a tremendous opportunity for them going forward in this -- as the next political cycle approaches. As far as Nielsen goes, I think Nielsen's all we know -- we like others believe that Nielsen data is imperfect. We'd like to see Nielsen invest further in their data gathering capabilities. I think it affects lower-rated, more fragmented sections of the market more than us, more than particularly in the mass scale of our news audiences and sports audiences. Lastly, Tubi, I want to get to your third question, Jessica. can't remember the specific question that was --
Steve Tomsic: Billing of the Tubi content.
Lachlan Murdoch: Billing of the Tubi content. It's there's two elements of it. It's obviously the original content on Tubi. These, as you know, are very inexpensive Made-for-TV movies. As I mentioned, they are all designed to be profitable in the very short-term. Two of them were profitable within months, which was tremendous to see. And the second element of the strategy is streaming fast channels. Linear channels such as we have now with sports on Tubi and with news on Tubi, which are very low cost but help them drive the TVT.
Joe Dorrego: Operator, we can go to the next question.
Operator: Our next question come from the line of Ben Swinburne from Morgan Stanley. Please go ahead.
Benjamin Swinburne: Thank you. Good afternoon. For any of you, there has been obviously a lot of focus on the ad market and the potential supply chain issues for some verticals. You guys didn't mention any of that, so I'm just wondering if you're seeing any softness in the television market sitting here as we head into the holidays. And I was just curious on Tubi, if you had international plans that you'd want to share with us on taking that platform overseas in a substantial way over the next couple of years.
Lachlan Murdoch: Thanks, Ben. Hope you're well. In terms of categories, we've seen softness in auto [Indiscernible] you specifically talked about sort of supply chain issues. I think if you look across a couple of categories, it's both supply chain, and I think in some it's shortage of staffing and employment. But where -- in auto being the key one and the largest of those where there continues to be some softness.  But these are more than made up for new categories, and growing categories that are coming into -- certainly onto our platforms. And the local the local side, clearly are wagering is -- mentioned it in my prepared comments, is booming across the local markets. Travel is also coming back and restaurants locally. So, these categories are more than making up for the softness in a couple of categories that are seeing some supply chain issues.  From a national point-of-view we continue to benefit from a very strong upfront and scatter pricing is averaging around 20% up above upfront pricing. Entertainment is a little higher than 20%, New is a little lower than 20%, Sports is about 25%, so it's averaging about 20 and nationally, there's some wavering money, not as much as local. But the crypto category, which is a brand-new category, particularly in sports, is booming as well as finance. And then Tubi International, Tubi currently, other than domestically in the U.S. is in Mexico, Australia, New Zealand, and Canada. And our focus has been driving the U.S. business. But we do see international as a big opportunity.
Joe Dorrego: We can go to the next question.
Operator: Our next question come from the line of Robert Fishman from MoffettNathanson. Please go ahead.
Robert Fishman: Hi. Good afternoon. If I can follow up on sports with your UEFA deal. Can you discuss how you see the ROI for incremental sports rights, and whether you plan to monetize UEFA on Tubi. And if not, how does your focus on keeping the rights exclusive to the pay TV ecosystem help with these negotiations or future negotiations.
Lachlan Murdoch: Thanks, Robert. So, you would -- with all -- as with all our sports rights, we studied very carefully to make sure we have a positive return on them and return on our capital with UEFA, as its 1,500 matches that we have available to us. The -- practically all of them will be on Fox Sports 1 and we will be the backbone of Fox Sports 1 through those summers where the Euros were held.  And so, you'll have the Euros on some summers, really being the backbone of our soccer -- summer soccer. And you'll have FIFA, the World Cups the other summers. So, we think it's a tremendous addition to -- for Fox Sports 1. We will have some games on Fox Broadcasting. We'll have about 4 times as many games as were previously aired on ABC, but that's only our 20 games versus the 5 that showed up on ABC when they had those rights. And we don't revisit putting Euro games live games on Tubi at this stage, although we could.
Joe Dorrego: Operator, we can go to the next question.
Operator: Our next question comes from the line of Doug Mitchelson from Credit Suisse. Please go ahead.
Doug Mitchelson : Thanks so much. And good afternoon, everyone. I guess my question and my follow-ups, I'll just throw it away. Lachlan, how tough of funnel doing for Tubi versus that 30% growth in usage? I know you always highlight that it's growth in usage that really matters but the measure of the health, we still need to understand whether you're attracting new users of Tubi and what marketing and distribution levers are left to pull to continue to scale that business.  And then for John, we've talked in the past about visibility for core costs for the Company, and we've had obviously these huge pandemic swings. But I'm curious if you exclude investment spending and unusually like Super Bowl and Thursday Night Football exit. Can you help us understand what the core OpEx growth looks like for your linear network businesses, because I think we all have views as to what advertising affiliate revenue on a core basis will look like going forward? And then lastly for Steve, can you monetize these higher NFL ratings or was that all sold upfront. Thank you.
Lachlan Murdoch: I get the easy one. Now look, Tubi is growing both in users and engagement in TVT. One of the things that you do, you juggle or balanced probably better word than juggle, but then you balance is when you market for new users, you can, through in a digital acquisition tool. Very quickly, again, new users. And depending on how much you want to spend, you can toggle that up and down.  But that's a losing strategy if those users are not engaged and then spend only a short period of time on the platform and then you have to re-market to them, for instance. And so far ahead in the team are very scientific and very experienced and just balancing the new users that they acquire versus the quality of those users and how engaged they are. And it is really why the total view on time, which includes new viewers coming onto the platform really remains the best metric, because it includes all viewers as well as a measure of the engagement that they have.
John Nallen: Hey, Doug. Yeah, well. Doug, I'll just comment on the cost overall and let Steve take some of the details. But the -- probably at the heart of your question is the visibility we have over our cost profile, our cost envelope. And
John Nallen: If you look at what we've done over the last year or 2, particularly securing NFL for the next 12 years, having baseball contract that goes well into the next decade, today's announcement about where we're going to be with UEFA, it just gives us great confidence about the rest of the year in the future for us because we've got such great visibility over the cost envelope.  So, it's not like we're expecting great surprises coming out of any one of the areas. We had the stations, news division, sports, or entertainment. So again, it just brings confidence to us as to the outlook for the business.  Just the obvious -- to state the obvious, obviously within that overall cost envelope with saying, when you can pay a like-for-like schedules on the entertainment side, we'll look to moderate the cost there and make sure that that business delivers our ROI. But also, in that same segment, we've got Tubi which we're really leaning into from an investment and a cost basis and so you will say that come through in the numbers, particularly after the -- we're pretty light in terms of the amount of money that we put against Tubi from a net investment perspective over this quarter.  And you'll see that ramp with subscriber -- user acquisition costs and marketing costs over the next couple of quarters. From an NFL ratings perspective, we'll absolutely look to monetize with still selling scatter there as Lachlan mentioned. Scatter has been incredibly robust for us sports with 25% ahead of upfront or pricing premium to upfront. So, we will definitely look to monetize that over the course of the remainder of the season.
Joe Dorrego: Operator, we have time for one more question.
Operator: Thanks. Your final question then will come from the line of Steven Cahall from Wells Fargo. Please go ahead.
Steven Cahall: Thanks. I just wanted to ask about Fox Bet and Super 6. Thanks for that data point on Super 6 with the $5 million. I was wondering if you could give us any metrics around Fox Bet. I know you seeing Super 6 act as a strong funnel for conversion from free-to-pay. And I know you are a passive, I guess, sort of participant in Fox Bet.  How should we think about you may be using your sports rights to make that more of a differentiated platform, or also taking more of an operational role so that it might start to show up in the financials at some point. Thank you.
Lachlan Murdoch: Thank you, Steven. Sure. I appreciate the question. I was surprised that it took 6 questions to get to Fox Bet and Super 6, as obviously, the business that are -- is very meaningful for us. So first of all, I'm not sure how much data I can give on Fox Bet itself. I understand that Flutter reported last night. And as the operator of this business, I don't want to give any information that are market sensitive or that they want to hold closer to the chess. But if you remember the structure of our joint venture, we have a Fox Bet Super 6 with over 5 million users as the number 1 national free-to-play game.  That drops people into Fox Bet. It's critical to realize though that Fox Bet includes in the joint venture and Fox Bet includes PokerStars and iCasino. And so over time as we monetize sports wagering, we also have the benefit of monetizing PokerStars and iCasino in Fox Bet. And what that means as we go through to really take full value and take full grasp of the opportunity fully, we are beginning to explore the process of getting licensed, wagering license, in order to fully capture the value of these tremendous assets for all of our shareholders.  So that's a process that we're just beginning. It's a complicated process because it's a go state-by-state in terms of where we would operate with our joint venture partner these assets. And so, it's probably a process that will take some time. Of course, we're also in our arbitration with Flutter under some of the elements of our options are 50% option of Fox Bet and are 18.6% option in FanDuel. And we expect that arbitration to be complete by June of next year. That's probably much that I can say on Fox Bet.
Joe Dorrego: At this point, we're out of time. But if you have any further questions, please give me your [Indiscernible] carrier call. Thank you once again for joining today's call.
Operator: Thank you, ladies and gentlemen. That does conclude your conference call for today. Thanks for using the AT&T Executive Teleconferencing. You may now disconnect.